Operator: Thank you for standing by, and welcome to ServiceTitan's Fourth Quarter and Full Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Jason Rechel, Vice President, Investor Relations. Please go ahead.
Jason Rechel: Thank you, operator. Welcome, everyone, to ServiceTitan's fiscal fourth quarter and full fiscal year 2025 earnings conference call. With me are ServiceTitan's Co-Founder and CEO, Ara Mahdessian; Co-Founder and President, Vahe Kuzoyan; and CFO, Dave Sherry. During today's call, we will review our fourth quarter and fiscal year 2025 results. We will also discuss our guidance for the first fiscal quarter and full fiscal year 2026. Before we get started, we want to draw your attention to the safe harbor statement included in today's press release and emphasize that information discussed on this call, including our guidance is based on information as of today and contains forward-looking statements that involve risks, uncertainties and assumptions. All statements other than statements of historical fact could be deemed to be forward-looking. Forward-looking statements reflect our views as of today only, and except as required by law, we undertake no obligation to update or revise these forward-looking statements. Please take a look at our filings with the SEC for a discussion of the factors that could cause our results to differ. We also want to point out that we present non-GAAP measures in addition to and not as a substitute for financial measures prepared in accordance with generally accepted accounting principles. Definitions of these non-GAAP financial measures, along with reconciliations to our GAAP financial measures are included in our earnings release, which we have furnished with the SEC and is available on our website at investors.servicetitan.com. Unless otherwise stated, all references on this call to platform gross margin, gross margin, operating income, operating margin, free cash flow and related growth rates are on a non-GAAP basis. Finally, we've posted an updated investor presentation that can be found on the Investor Relations website at investors.servicetitan.com, along with a replay of this call. And with that, let me turn the call over to Ara. Ara?
Ara Mahdessian: Thank you, Jason. And thank you for joining us today as we update you on our progress and plans for the new fiscal year. Our mission and growth formula are simple. We deliver enormous ROI to our customers, helping them further their success and reach even higher financial outcomes, and this allows them to grow their businesses, which drives more technicians and GTV onto our platform and leads to higher subscription and usage revenue for us. As they realize the ROI of our software, they buy more Pro products which continues to drive our growth and ultimately allows us to reinvest in even more high ROI solutions. Fundamentally, we've seen time and again that creating value for our customers is the right thing for our customers and for the financial success of our own business. It is because of this durable growth formula that the new public market era for the trades, for our customers and for ServiceTitan is off to a good start. I am humbled by the way that our team, in partnership with our customers, capped off a transformative year. During fiscal year 2025, we delivered $772 million in total revenue, growing 26% year-over-year, led by 28% year-over-year subscription revenue growth. We achieved this while delivering 27% incremental operating margins greater than 600 basis points of operating margin improvement, and we were free cash flow positive for the first time. Our goal is to be synonymous with the trades by addressing a large and durable market. End customers in North America spent roughly $1.5 trillion annually on services in the trades. There are 6 million people employed by the trades in the U.S. alone, and the jobs these men and women complete every day are primarily immediate, preventative or nondiscretionary in nature. People don't go without air conditioning or heat. They need functional plumbing even in the worst of times. And so the trades keeps our society running. We didn't always address the scope of the opportunity that we serve today. In fact, when we first built ServiceTitan to solve the problems our dads faced and to deliver exceptional ROI to our early customers, we started by addressing only the residential service plumbing market. And more specifically, only small residential service plumbing businesses. Over time, we deepened our plumbing capabilities for larger businesses. We were pulled into new trades in partnership with our customers. We expanded to serving commercial contractors. We matured our product portfolio. And we emerged as the market standard in many of the trades that we serve today. We now address more than 10 trades both in the residential and commercial markets. We have a portfolio of Pro and FinTech products, and we've earned the right to support the largest and most sophisticated customers in the trades. The deep enterprise-grade features we built tailored specifically for the trades, has empowered the largest businesses to grow with us. By partnering deeply with these customers, we have become the market standard in these trades and earn the right to increase Pro product attach rates while also acquiring new customers. The most successful contractors have been pulled us into new trades which is the core of our new markets expansion. This solid business foundation grounded in unique customer ROI is why I am proud of our Q4 performance. Our core trades performed well with a healthy combination of growth from both new and existing customers. Our customers are leveraging AI and automation across many key workflows, and our investments in commercial and roofing continue to deliver strong results, setting the stage for this cycle to compound into the future, all while we deliver high incremental margins and free cash flow resulting from focused execution. Looking into fiscal 2026, our goal is to build on this foundation. To execute against this goal, we have four primary areas of focus. To further expand our enterprise capabilities, to further expand Pro-product adoption, to go deeper in commercial and to continue to grow in roofing. Thank you to our customers and our team for an amazing close to this transformative year for ServiceTitan and for the trades. We are on a mission to help every contractor further their success with ServiceTitan, while building a generational business that becomes the operating system for the trades. I'll now pass it to my Co-Founder, our President and my better half of work, who will provide you with more clarity on how we intend to execute on each of our four priorities this year. Vahe?
Vahe Kuzoyan: Thanks, Ara. I'm also deeply grateful for the way Titan showed up for our customers this year, and I'm excited to create even more customer value throughout fiscal 2026. Let's expand on each of those four key priorities, which we think positions the business to compound growth. Beginning with enterprise, the professionalization of our industry remains a powerful long-term trend as large customers in the trades become larger, more sophisticated and continue to outgrow the industry. These customers have also begun to consolidate their entire tech stack on ServiceTitan. Our standard operating guidelines, benchmarking, automation capabilities, roll-up reporting and other enterprise features have been purpose-built for the unique workflows of large base businesses. Feedback from many consolidators last month at our annual Private Equity Symposium suggests that the consolidation and professionalization of the trades remains early. We plan to continue to build and improve our products to create value in the trade and meet the emerging demands of our largest customers. Pro product strength was notable exiting the year. Sales Pro and Contact Center Pro were only launched at Pantheon and have already proven additive to our portfolio. Looking forward, we aim for Pro products to have appeal across our entire customer base, which is why we're investing more this year to accelerate Pro penetration. Our Pro capabilities are the foundation for ROI that can only be delivered because of native integrations into the work already being done in core servicing. Our Pro products are at the center of increasingly powerful business outcomes for customers which is amplified by AI. We continue to see steady adoption of Pro products as central to our overall expansion story and path towards 2% effective earn rate. In commercial, we spent the past 12 months accelerating product development in our customer service portal, service agreement functionality, equipment experiences and our new field mobile app among other advancements. These capabilities collectively contributed to healthy execution and progress. Looking forward, we're focused on enabling our commercial customers to also run their construction projects on ServiceTitan. We don't target general contractors. Instead, we focus on ensuring that specialty trade subcontractors can run all their work on our platform, commercial maintenance, on-demand service, replacements and winning and managing both small and large construction projects. We're building end-to-end project management workflows and a dedicated commercial CRM that we believe will empower specialty trade subcontractors to win. We only recently entered the roofing space, and we exceeded our early ambitions during FY2025. We delivered steady progress on our product road map as we work to mature over time from a new player into market leader. Our recently announced partnership with North America's largest roofing manufacturer, GAS, was the first time they've endorsed a core software platform and is further validation of just how far we have come in a short time. We're executing our proven playbook for success in new trades, and we expect that building on our technology investments this year in insurance reimbursement, workflow automation and key integrations with measurements providers and distributors will be key to our growth. Wrapping up, our priority remains to create value for customers that we are uniquely positioned to create. Because of our end-to-end platform and large existing footprint, we are uniquely positioned to help customers turn insights into action and deliver growth and efficiency. I’m excited to see how much more successful our customers can become this year and to help them take full advantage of the ServiceTitan suite as the operating system for the trades. And with that, I’ll turn it over to Dave to run through our financials. Dave?
Dave Sherry: Thanks, Vahe. I’m proud of our execution exiting the year. Today, I’m planning to run through Q4 financial results in detail and provide guidance for Q1 and the full fiscal year 2026. For details on the full fiscal year 2025 financial results, please refer to our press release issued earlier today. Q4 gross transaction volume, or GTV was $17 billion, up 26% year-over-year. As a reminder, GTV is impacted by many external variables such as macro conditions and weather patterns, the latter of which we believe contributed roughly 150 basis points to year-over-year growth in the quarter. Even accounting for the weather impact, our GTV expanded faster than we’ve seen over the prior several quarters. This was particularly true and residential among our existing customers. Q4 total revenue was $209.3 million, up 29% year-over-year. This higher growth rate was driven by GTV’s impact on usage revenue, which was $43.4 million, up 26% year-over-year as well as subscription revenue, which was $156.7 million, up 31% year-over-year. Subscription revenue grew 4 points faster than the past few quarters due to stronger-than-expected new bookings and elevated customer expansion. We also benefited from new deal linearity as more deals closed earlier in the quarter than anticipated, and we saw some one-time catch-up items. Together, these amounted to roughly $1.5 million of incremental revenue in the quarter. Total platform revenue, the sum of subscription and usage revenue grew 30% year-over-year. Q4 professional services revenue was $9.2 million. Net dollar retention was greater than 110% for the quarter. Gross dollar retention was greater than 95% for fiscal year 2025, and we exited fiscal year with approximately 9,500 total active customers, up 18% year-over-year. Q4 platform gross margin was 76.7%, an improvement of 30 basis points year-over-year. And total gross margin was 70.2%, up 80 basis points year-over-year. Q4 operating income was $6.9 million, leading to an operating margin of 3.3%, an improvement of 200 basis points year-over-year. We’re pleased to have delivered 27% incremental margins for fiscal year 2025, even as we began to absorb public company costs through the end of the year. Q4 free cash flow was $10.8 million, up from negative $2.2 million for the prior year fourth quarter. In mid-January, we paid down the $70 million balance that had previously been drawn against our revolving credit facility. We ended Q4 with $442 million in cash and cash equivalents compared with $105 million in debt. Before shifting to formal guidance, I’d like to provide a few modeling considerations for the year ahead. First, I’d like to highlight that Q1 of FY2026 will have one fewer business day as compared to Q1 of FY2025, which we estimate will be a 150 basis point headwind to reported year-over-year GTV and usage revenue growth. Second, as you think about the year, a reminder of the operational and seasonal fluctuations in our business. When we pay our annual cash bonuses in Q1, we typically see seasonal sequential growth in Q2, driven by seasonally higher GTV and we host our annual user conference during Q3, which we expect will weigh on expenses and free cash flow during the period. Finally, I’d like to highlight that customer success had previously been measured primarily on customer NPS and retention, but starting in FY2026, expansion will be added as the core KPI. As a result, a portion of our customer success head count costs will shift from cost of revenue to sales and marketing. Beginning Q1, platform gross margins will see a one-time shift higher by roughly 200 basis points with a commensurate shift higher in sales and marketing expense. There will be no impact on total operating income. Shifting to guidance. For the first quarter, we expect total revenue in the range of $207 million to $209 million. We expect to generate operating income in the range of $12 million to $13 million. For the full year of fiscal 2026, we expect total revenue in the range of $895 million to $905 million. We expect to generate operating income in the range of $48 million to $53 million. We’re running this business for a marathon, not a sprint. Our goal is to durably compound growth over many years and expand margins at the same time, growing earnings faster than revenue. Our long-term non-GAAP operating margin target is 25%. And our path to that target will be driven by our continued focus on incremental operating margins. The business is performing well against these goals as we enter into fiscal year. We see healthy performance as evidence of our strategy to become the operating system for the trades is working. With that, I will turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Kash Rangan of Goldman Sachs. Please go ahead, Kash.
Kash Rangan: Hello, thank you very much and congratulations on ending the year so beautifully with your IPO, whatnot. I had a question for you maybe on the linearity of new business, that what do you think might have contributed to better linearity of new business that got booked in your Q4 results? And also on a go-forward basis, you announced at Pantheon, a lot of new products in Contact Center Pro, Sales Pro got my attention. And I think on the commercial side, ServiceTitan and CRM. As you look ahead, what are the new opportunities that are available to the company that you could not pursue? And granted these products take a little bit of time to mature and get customer adoption. What is the early rate and conviction on these new products? And how much opportunity they could unlock for the company in the year? So thank you so much, and congrats.
Dave Sherry: Thanks, Kash. Dave here. I’ll take the first part on linearity. As you noted, it was an unusual linear quarter. We started off the quarter stronger than we typically do. I think it probably had to do with the momentum coming out of Pantheon, which was then followed up by the IPO, the S1 flip public in November, and then we had a bunch of excitement in December. So I think we saw more deal closed based on employee and customer excitement earlier in the quarter than we normally do. I would not extrapolate this as a new norm going forward.
Vahe Kuzoyan: And on Pro products, we continue to innovate on, A, making it easier than ever for customers to see the values and B, improving the functionality of each existing Pro products to appeal to a broader portion of our customer base. And C, investing in new products. Some of these factors may contribute to our growth this year, while new products introduced during the year will more likely to be growth drivers in fiscal 2027 and beyond. As a reminder, we have roughly a quarter of our GTV that has adopted four or more Pro and FinTech products. This number is up from only 5% three years ago. So we’ve seen strong success here, and that success is primarily reflected in the steady contribution to our overall expansion revenue. But we continue to be quite early overall and see headroom to both increase the attach rate of each individual product and also increased multi-product penetration.
Operator: Thank you. Our next question comes from Josh Baer of Morgan Stanley. Your question please, Josh.
Josh Baer: Yes. Thank you. Congrats on a strong quarter. Terrific acceleration in growth across the Board. I think the routes really coming from GTV growth acceleration. I know you called out some benefit from weather and gave a little context there. But I was hoping you could dig in. I mean, we see the durable customer growth. And so I was hoping you could unpack like the rest of what contributes to GTV. Like how much – what can you say about average ticket sizes? What can you say about your customer base mix getting larger versus your customers growing organically? And any comments on like private equity roll out.
Dave Sherry: Great. Thanks, Josh. I think as you did notice, it was about 150 basis points from weather, but it’s still an acceleration in earnout performance versus prior quarters. I will say that the majority of that outperformance came from our existing residential customers who grew faster than we’ve seen in prior periods. That was mostly to do with a broad-based performance. I don’t think there’s anything that’s specific there. We don’t know if its macro or some is because of trades. We’re not yet ready to call this a trend. I think some watch for a couple of quarters before we see that going forward. We would not expect this level of outperformance on GTV again, but we’ll be watching closely.
Ara Mahdessian: And maybe a couple of comments.
Josh Baer: Go ahead.
Ara Mahdessian: You asked about enterprise or private equity. So we had our PE Symposium recently. We brought a bunch of these great sponsors together as well as operators, and they all talk about problems, best practices and how ServiceTitan could better support them going forward. Because our job ultimately is to help them make more money. And I think the highlights were that the largest businesses in the trades, they want to standardize their tech stack on ServiceTitan. And so they’re asking us to automate as much of their business as possible, and in many cases, through AI. And also, these businesses increasingly recognize that higher Titan scores and Titan score being a measure of what percentage of our capabilities they actually use higher Titan scores correlate directly with faster revenue growth and so high level of interest in standardizing on our Pro products today, and very much interested in our pet road map things like data and AI moving forward. And the residential consolidation has been underway for quite some time, and there continues to be opportunity to create great outcomes for customers like these moving forward. Commercial is earlier in its consolidation journey for a variety of reasons, slightly different business model where we have more bespoke operational playbooks and it’s often for them a harder M&A strategy to both diligence and then integrate, but continued big opportunity on the enterprise and private equity fund.
Josh Baer: Very helpful. Thank you.
Operator: Thank you. Our next question comes from David Hynes of Canaccord Genuity. Your question please, David.
David Hynes: Hey, good evening, guys. Congrats on nice quarter. So Vahe, I've gotten a few questions about where you're headed in heavy construction. Look, I realize it's a long-term driver of the story. But it was mentioned again during prepared remarks, I think when public investors hear that they think Procore or Autodesk. So I'm curious where you see ServiceTitan fitting into that ecosystem, whether this is coexistence or competition with those firms. Maybe just help us kind of flesh out the strategy there.
Vahe Kuzoyan: Yes, absolutely. We respect the business Procore has built. And at the end of the day, we focused on totally different markets. And if anything, there's probably an opportunity for us to partner in the future. We serve different customers and see our opportunity very differently. When we talk about commercial construction, it is important to remember that we don't target general contractors. Instead, we focus on ensuring that specialty trade subcontractors run all of their work on our platform, commercial maintenance, on-demand service and replacement and winning and managing both small and large construction projects.
David Hynes: Yes. Got it. Okay. And then Dave, a follow-up for you. So look, I know you guys are only reporting net revenue retention on a threshold basis. In this case, you said it's better than 110%. That said, given the acceleration we've seen in growth, the momentum with Pro products, is it right to think that NRR has been trending higher?
Dave Sherry: I think – so when we – and when we talked about net dollar attention having some trends of normalization of the prior 10 quarters and stabilizing over the last year or so. I think it's fair to assume that that stabilization trend continued in this period. Of course, as I mentioned in the prepared remarks, our customers expanded faster than they had in previous periods. So I think it's fair to conclude from that what you will, but it was I wouldn't say – I don't think we're going to talk about specific numbers around NDR, but it did see the stabilization trends that we've seen in the prior periods.
Operator: Thank you. Our next question comes from Scott Berg of Needham & Company. Please go ahead, Scott.
Scott Berg: Hi, everyone. Really nice quarter here. I guess I have two questions. I wanted to start on the change in priorities for your CSMs and helping them drive more expansion cross-sell opportunity with your customers. What benefit are you expecting to directly gain for that? Obviously, it's going to be positive? And how should we think about what that real right opportunity to the upside?
Ara Mahdessian: You broke up there, Scott. Can you say that as some other question again?
Scott Berg: I'm sorry, what was that?
Ara Mahdessian: You broke up there at the end of the question. Would you mind saying last part of it again.
Scott Berg: Yes. Just with the change in priorities for the CSM individuals and trying to drive more cross-sell expansion opportunity is – what type of impact are you looking to drive for them? Obviously, that should drive more expansion activity. But is the opportunity to drive, I don't know, 25%, 50% more opportunity? Just trying to maybe help us understand how much further they can drive more adoption of the platform.
Ara Mahdessian: I probably won't comment on numbers, but I'll comment on maybe the philosophy. Of course, our CSMs are responsible for helping our customers better utilize our products, including our core product, and we believe that better utilization results in revenue growth as well as margin improvement for our customers. I think what this is mostly focused on is the fact that, that natural segue into a conversation about a Pro product, in a conversation between a CSM and one of our customers. So for example, when a CSM is reviewing business performance with that customer to help identify ways where ServiceTitan can help them even across just the core product where we do not benefit from increased spend from them. When we see, for example, a contractor's cost per lead is too high or their conversion rates on phone calls to book deployment is too low. Or for example, we see great variance in average tickets between their best technicians and their worst-performing technicians. Naturally, the customer is very interested in understanding how they can improve these metrics. And that's a very natural opportunity for us to then talk about if your cost per lead is so high, something like ads optimizer or Marketing Pro can help you lower this and generate even more leads for the same marketing budget or for example, if they see such variance in performance across technicians. It is very natural to talk about one of the big provinces you have no visibility into what happens in the field during the technician sales process. Would you like visibility? And if they say yes, that's when we bring up sales grow and how it helps record the conversation, and use AI to suggest improvements. And of course, the management can also review those recordings as well. So that is the fundamental premise behind this approach. It's just much more natural for the CSM to directly talk to the contract about these opportunities.
Scott Berg: Got it. Very helpful. And then from a follow-up perspective, I believe, Ara, you talked about growth in roughing [ph] as one of your four priorities this year. As you've done more in that trade, have you found that the existing ServiceTitan playbook can you replicated exactly as is? Or do you have to tweak that playbook a little bit for that trade because there are some nuanced differences in routing versus, say, on the HVAC, et cetera?
Ara Mahdessian: Replicated for different trades and end markets.
Scott Berg: Yes, specifically roughing since that's one of the four stated priorities for the year.
Ara Mahdessian: Absolutely. So there is a lot of overlap between playbooks in different end markets. However, there are also unique differences. So for example, in something like, let's say, HVAC, the playbook very much centers on the residential side on optimizing the sales and marketing fund, how you market to generate new phone calls, how you make sure all the phone calls are booked into an appointment, make sure none of those appointments get canceled, make sure the technicians have high close rates in the field with high average figures, nearly all of that applies as is in roofing, and that's frankly the reason why our largest consolidators in plumbing, HVAC, electrical wanted to partner with us and us to partner with them to build support for roofing and enter the roofing industry and that same playbook applies. However, within roofing, certain workflows are meaningfully different, how measurements are taken of the home and the roof how that turns into an estimate. And then once the job is sold, how that translates into procurement for all the materials is meaningfully different than other industries. And so that part of the playbook, we had to both work on from a product perspective as well as, of course, from a services perspective and how we enable our customers. There are equal differences in most commercial trades because the sales and marketing playbook is pretty different, right? Instead of marketing to a mass audience, it's more business development. It's a different proposal process, but the actual execution of the job and procurement and things like that are actually far more similar to our existing markets. So the difference is on sales and marketing funnel.
Operator: Thank you. Our next question comes from Jason Celino of KeyBanc Capital Markets. Please go ahead, Jason.
Jason Celino: Hey, thanks for taking my question. Good afternoon. So maybe this is for Ara and Vahe. I understand that 75% of the work your customers do as repair and maintain and nondiscretionary. But no industry is recession-proof. So I know there's a lot of unease at the moment with tariffs and SMB, but what areas of your business could be affected by macro?
Ara Mahdessian: Yes. Great question. So as you alluded to, no business is recession-proof. Now in our case, historically, what we have seen is that the growth in jobs performed has not been meaningfully impacted through different macro cycles. Where we see variance between macro cycles is in something like the average ticket on those jobs that are performed. And then on the macro side, of course, we're monitoring things closely. It's hard for us to predict net-net, what will happen. But 95% of our revenue is in the U.S. Our customers' contracts are price in USB. You mentioned the point about 75% being immediate or preventative or non-discretionary. And at the end, we're ultimately aware of all these shifts in government policy and the uncertainty in the macro right now. So we're monitoring things closely, but we have not yet observed an impact on either jobs performed or average tickets.
Jason Celino: Okay. Excellent. That's helpful. And maybe that's a good segue to – for Dave. Really nice 29% growth exiting Q4. Q1 is decelerating in the guide. The rest of the year is continued deceleration. So I guess, help me understand from like what is built into the framework for this year from like a degradation standpoint. Thank you.
Dave Sherry: Thanks, Jason. The business is performing well with healthy trends across retention, expansion and new bookings. Q4 was sort of – the stars fully aligned in sales with tailwinds from the weather or the industry generally, new product launch and boosted by the IPO. I think we're thrilled with the progress we've made. At the same time, I don't expect all these tailwinds to continue forever. We also recognize that we’re early in the journey of being a public company. And as such, we want to be prudent in our guidance with you to confidence we’re going to hit the numbers we’d say. And so the one thing I’d say is the success we saw in Q4 new deals, we do expect to lead the strength in subscription revenue in Q1. And as always, where we’re most conservative in the model is around GTV as the variance fares outside of our control, some quarters that’s going to be to our benefit like we saw in Q4 and some quarters it’s not. We want to make sure that our cost structure is aligned so we can deliver the incremental margins that we talked about without having to grow like an accordion growing and cutting costs. We want to make sure that our cost structure is aligned to deliver our incremental targets with even if GTV comes in lower than we’d like. So that’s a short answer for you.
Operator: Thank you. Our next question comes from Terry Tillman of Truist Securities. Your line is open, Terry.
Terry Tillman: Yes. Thanks and congratulations from me as well on the quarter. First question, and then I had a follow-up. First, I want to start with the commercial CRM. Just anything more you can share in terms of, is it a first or second half launch? And the last part of this first question is, is this potentially unlocked faster commercial? Or are there some customers or end markets in commercial that, hey, the commercial CRM needs to be the tip of the spear before you can really get going? And then I had a follow-up.
Vahe Kuzoyan: Sure. Commercial is a big part of our strategy, and we’ve seen good progress over the past couple of years, having roughly doubled the commercial GTV on our platform through the middle of last year. We first began serving commercial in 2021 with functionality specific to this segment, and we made a large investment specifically in commercial landscaping. As we continue to build functionality that is specific to the needs of commercial customers, we’ve steadily evolved into a leader in this space. We’re not satisfied with being leader because as we’ve shared, our goal is to be market standard in all of the trades in which we compete, and commercial represents $360 billion of addressable GTV, in which we aim to become the market standard over time. Our progress continued during Q4. We had success in signing new customers as getting – as well as getting customers live. The results of the quarter continue to validate our commercial strategy, both the products – both from a product perspective and from a go-to-market perspective. Commercial CRM is progressing well and is an exciting part of our road map this year. Our team is excited about how this may further differentiate us in the commercial space, and we’ll have more concrete updates to share on our progress as the year unfolds.
Terry Tillman: That’s great. I appreciate that. My second question is maybe, Dave, on the free cash flow, we know the seasonality dynamics, I think, in 2Q. Is there any kind of relationship we should think about for free cash flow in FY2026, maybe in comparison to non-GAAP operating income? Or just anything you can share about the things we should consider that could help or impact free cash flow in FY2026? Thanks.
Dave Sherry: No, I think you nailed the seasonality portion. Remember, Q1, we pay our annual bonus. So there’s a seasonal free cash flow outflow that quarter. But over the year, you should expect free cash flow and operating income to be pretty close, non-GAAP operating to be pretty close.
Operator: Thank you. Our next question comes from Parker Lane of Stifel. Please go ahead, Parker.
Parker Lane: Hey, guys thanks for taking the question and congrats on the quarter. Dave, you talked about expansion picking up a little bit here in the back half of the year. Just wondering how much of that expansion activity is related to the launches of Sales Pro and Contact Center Pro versus other solutions that are already available on the platform prior to Pantheon.
Dave Sherry: How you doing? So Pro remains a growth engine for us. It’s the fastest-growing portion of the business. With that said, its contribution to expansion in the quarter was relatively consistent with prior periods, slightly up with the new products we launched, but relatively consistent with what we’ve seen in the prior periods. What actually drove the outperformance versus prior quarters was principally core. And that, as Ara mentioned in his prepared remarks, was split pretty evenly between new customers on the platform and existing customers expanding faster.
Parker Lane: Got it. And quick follow-up. Any reason to believe that the PE consolidation trend would change from what you’ve seen in historical periods as the macro gets notably worse?
Vahe Kuzoyan: No, we expect the trend to continue as is, and we don’t anticipate any sort of downward trend due to macro conditions changing.
Operator: Thank you. Our next question comes from Joe Vruwink of Baird. Your question please, Joe.
Joe Vruwink: Great. Thanks for taking the questions. I wanted to go back to Jason’s question on the macro, but take it more from a cost per repair angle, I understand the volume is pretty steady, but just if we do get a return in inflation, how do customers manage through that environment again. And then when it comes to ServiceTitan’s on performance, how does the inflation show up in your financials? I would imagine we end up seeing higher GTV on the platform, but is there anything else to take into consideration?
Ara Mahdessian: Yes. Great question. First, I guess that, so far, we have not seen any impact on either jobs performed or the average ticket. It’s hard to predict what will happen just because there are so many different factors and what will give them that outcome. I can say the last time we experienced a rise in input costs – inflation on input costs was during COVID when there were supply shortages and just general inflation in the market. And what we saw there was our customers’ ability to pass on the increased costs because of the elasticity curve in this market and weather the storm. So they also continue to improve how they run their businesses. So there are other drivers that they have to compensate for it. But at the end of the day, we’re not economists to be able to predict the net effect of all these things.
Joe Vruwink: Okay. That’s helpful. Thanks.
Dave Sherry: I was going to say in terms of how close to the business to Ara’s point, it generates more GTV. Of course, it flow through more usage revenue and potentially more technicians, which drive up subscription revenue. Our costs are mostly labor cost and so it’s pretty easy to forecast that. We don’t have a lot of material input costs other than labor. So it’s mostly on the revenue side you’d see impact for us.
Joe Vruwink: Yes. No, understood. I wanted to go back, you mentioned the Titan Advisor storing on the platform. I’d just be curious since that measures your customers’ engagement and utilization pretty closely. Does that act as a leading indication? Sometimes we hear companies say active usage typically spikes right before you’re able to capitalize on a lot more new business opportunity. I’m wondering if you’re seeing kind of any positive indications right now, and that’s helping inform the stronger outlook at the start of the year.
Dave Sherry: I think Titan Advisor score is pretty heavily correlated with customers’ growth, but there are so many other variables that drive GTV. But it’s hard to say it’s a very accurate leading indicator. Of course, as you saw in this period, weather was a big driver of the macro vehicles that Ara talked about a big variable side. I’m not sure I would call that a reliable leading indicator that’s driving our forecast this year.
Operator: Thank you. Our next question comes from Yun Kim of Loop Capital. Your question please, Yun.
Yun Kim: Great. Thank you. Congrats on a solid quarter, solid finish to the year. So with an increasing mix of commercial in your business and the ramp that you’re expecting in roofing to share, do you expect the seasonality and take rate trend of GTV to be somewhat different than previous years?
Dave Sherry: I think it’s a great question. It depends on the acceleration there on how fast they were to accelerate up as part of our business. I think we’re not forecasting a big variance. Of course, if commercial or roofing grew much faster, that may impact our overall earn rate. But I don’t think it’s currently a driver, we’re expecting to change the overall history that much. Seasonality, we don’t expect to be very different than we’ve seen in prior years.
Yun Kim: Okay. Great. And then Vahe, if you can give us an update on the mobile apps, which I believe you launched last year at Pantheon? How is the adoption going? What is the more of a near-term target strategy there in terms of the overall mobile apps? Thanks.
Vahe Kuzoyan: Sure. We’ve seen a pretty increased – meaningful increase in the utilization of the new mobile platform. It continues to be rolled out on schedule. We haven’t finalized when the full transition will be from our previous mobile app to our current one. But the results that we’re seeing from the customers that are utilizing it are very strong, and we are excited about the final transition onto the new platform.
Operator: Thank you. Our next question comes from Dylan Becker of William Blair. Please go ahead, Dylan.
Dylan Becker: Hey guys, congrats here. And apologies for the background noise. Maybe first for Ara or Vahe, you called out a partnership with a leading materials provider in roofing. We’ve talked about it in the past as well on some of the Residential and Commercial segments. I wonder how you think about kind of leaning into and leveraging some of those partnerships and those relationships to help kind of push forward faster with some of these initiatives, kind of the opportunity with the customers they have today versus kind of your penetration within those. How are you going to think about leaning into that partnering?.
Ara Mahdessian: Yes, that’s a great question. I would say our growth in nearly every trade has certainly been fueled by partnerships with the key players in that industry, and roofing appears to be no different. We’re very excited about this new relationship with GAF. And of course, we’re very grateful for their partnership. They are ultimately North America’s largest roofing manufacturer. They have a massive footprint. And we’re very thankful that this is the first time they have officially endorsed core software vendor. And we see that as validation of how far we’ve come in roofing. And of course, this relationship is structured as a win-win-win for them, for us and for our mutual customers. Similarly, we announced the partnership with SRS Distribution last fall shortly after home depot has closed its acquisition of SRS. But the broader goal in roofing is that we want to have full coverage across all the major partners and distributors and measurement providers and that moves us towards our goal of being market standard. So we ultimately want to be the central hub of this trade ecosystem. And there’s huge opportunity to create value for our mutual customers. And that typically helps us get to the other benchmark that we have for ourselves.
Dylan Becker: Sure. Perfect. Maybe switching over to Dave kind of on the guidance framework, right, you talked about kind of seasonality throughout the business, strong periods and kind of some of those summer and winter months. So how should we think about kind of your viewpoint on how the progression of the level of conservatism trends throughout the balance of the year as you kind of layer in more visibility to some of those GTV dynamics?
Dave Sherry: It’s an interesting question. I think we tend to be pretty prudent throughout the year. I think, of course, there’s more conservatism in the back half or the total year with more visibility into the next quarter in terms of subscription revenue. GTV because these external variables will probably be prudent throughout the year relatively evenly. And so I wouldn’t assume that there’s more prudence in one quarter than other. The subscription is obviously more visible now than this in the back half of the year.
Operator: Thank you. Our next question comes from Michael Turrin of Wells Fargo Securities. Please go ahead, Michael.
Michael Turrin: Hey, great. Thanks very much. Appreciate you taking the questions. I’ll ask two, but all upfront. I guess you’ve hit on this a little bit, Dave. But just given your newer to the public markets, maybe just frame overall factors to consider with the profile of fiscal 2026, how you incorporate things like weather patterns or new products into your forecast, given there’s clearly a lot of focus and enthusiasm on some of the newer product efforts there. And then secondarily, just there have been a few comments on AI throughout the call, probably not as clear for investors here maybe initially on where the more immediate AI-related opportunities could manifest. But can you just help us all think through where the more direct impacts there could come from based on some of the customer conversations you may be having. Thank you.
Dave Sherry: Sure. I’ll start with the first one on guidance. I think in terms of weather, we don’t have a specific view of weather. We just – we kind of assume the seasonal trends are consistent. In terms of the macro environment that Ara talked about we’re assuming roughly compared with what we saw in full year of FY 2025. We haven’t extrapolated Q4 overperformance into the year. Of course, again, repeat myself that the prudence will have in the forecast is generally on GTV. In terms of new products, I think that we’re excited about the early traction of those new products. They’re still not hugely material in our total revenue. They’re not going to be big variable in the results. We’re excited about what they are and what they can be sort of stacking S curves, but they’re not a huge driver and the guides we have given you. I’ll let Vahe talk about AI question.
Vahe Kuzoyan: Yes, in terms of the short-term, let’s say, impact of AI, we currently have three pro products that are effectively pure-play AI products that customers and love and pay for and Dispatch Pro, Ads Optimizer and Sales Pro. But this is just the beginning as customers continue to have a deep appetite for us to automate their businesses. Introducing agents into this equation or agentic AI is just the next evolution that we think will power a next set of products. But as we think about from a monetization lens, our current structure of having a core product as well as attached products and our ability to infuse AI, particularly into the pro products layer, is where we expect the monetization to occur. And in terms of near-term impact, it will be primarily from these three products. And as Dave noted, the role they play in terms of our growth formula. That’s where the near-term AI impacts will be coming from.
Operator: Thank you. Our next question comes from Brent Bracelin of Piper Sandler. Your question please, Brent.
Brent Bracelin: Good afternoon. Dave, maybe we’ll start with you here. The external environment certainly is not getting better, but you did just report platform revenue acceleration for the second straight quarter. I think 30% platform growth is the highest we’ve seen in over a year. Could you just go back and maybe parse out how much of this acceleration was seasonality versus maybe share gain momentum or increasing ARPU because of these per add-ons? Just a little more color on what drove that acceleration. Thanks.
Dave Sherry: For sure. We’re really proud of the quarter we just had and then the start of our life as a public company. As for the outperformance of the quarter, I'll say the start is essentially a flip line in the quarter to drive the distribution revenue to up first. As I mentioned, our customers themselves outperforming, which led to faster growth in core via added tax and renewals. Second, as I mentioned in my prepared remarks, the new deal linearity from our norm and the onetime catch-up together drove about $1.5 million in the quarter. Third, we had a bunch of momentum coming out of a very strong Pantheon with [indiscernible] products that you talked about, which that momentum continued through the IPO, which had a lot of excitement from both customers and employees. And I think these factors drove really strong sales performance and that strong sales performance combines our customers are performing is what drove the subscription revenue you saw. And as much as I’d like to have an IPO every quarter, I don’t want you to expect this type of performance to continue. We obviously will work to execute to make that happen, but I don’t want to for everyone to extrapolate this given the way of the tailwinds that we had in the quarter.
Brent Bracelin: Got it. Makes sense. And then Ara, I know you’ve talked a little bit about the business around macro concerns, and that certainly is something we’re getting questions from some investors. My question for you is you do have a pretty resilient business here, 75% nondiscretionary that’s much better than most of the software companies we look at on the enterprise side. I’m curious to get your thoughts on commercial. As we think about the opportunity there, is there a potential this year based on your customer conversations to maybe accelerate share gains on the commercial side, new land opportunities that could maybe offset some of these macros, any color you can provide around where we’re at with commercial and the opportunity there in the next six to nine months would be super helpful. Thanks.
Ara Mahdessian: Great questions. As you can imagine, Vahe and I spent a lot of time talking to customers, particularly our largest ones, literally every day. To date, we have not heard anything that is a concern about their continued growth in commercial. We’ve talked to them about tariffs and they reiterated what I just shared with you. So we continue to expect commercial to do well. And as we’ve shared previously, we got started in commercial very recently and others have been in this market for years before us, and we’re very happy with the traction that we’ve seen. And that today, we are as far as we know, number one by every observable metric that we have already. So continued excitement for commercial and also residential.
Operator: Thank you. I would now like to turn the conference back to Ara Mahdessian for closing remarks. Sir?
Ara Mahdessian: Thank you. I just want to thank everyone for joining us today. We understand and really appreciate that you have the opportunity to spend time with incredible businesses. And so we’re very grateful that you’ve taken time to better understand ServiceTitan. We know the opportunity cost of your time is very high. And of course, we aspire to be great stewards of your capital and to build a generational company and in the process. And we very much look forward to seeing you soon, and thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.